Operator: Greetings, and welcome to the Natural Health Trends Corp. First Quarter 2025 Earnings Conference Call. [Operator Instructions] And as a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Michelle Glidewell, with Natural Health Trans Corp. Thank you. You may begin.
Michelle Glidewell : Thank you, and welcome to Natural Health Trends First Quarter 2025 Earnings Conference Call. During today's call, there may be statements made relating to the future results of the company that are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Actual results, performance or achievements could differ materially from those anticipated in such forward-looking statements through the result of certain factors, including those set forth in the company's filings with the Securities and Exchange Commission. It should also be noted that today's call will be webcast live and can be found on the Investors section of the company's corporate website at naturalhealthtrendscorp.com. Instructions for accessing the archived version of the conference call can be found in today's financial results press release, which was issued at approximately 9:00 a.m. Eastern Time. At this time, I'd like to turn the call over to Chris Sharng, President of Natural Health Trends.
Chris Sharng : Thank you, Michelle, and thanks to everyone for joining us this morning to discuss our first quarter 2025 financial results. With me today is Scott Davidson, our Senior Vice President and Chief Financial Officer. During the first quarter, revenue was $10.7 million, a 2% decrease compared to the first quarter of 2024, attributable to the tightening of our incentive calenders between the two periods. However, we managed to sequentially increase our orders taken by 9% over the fourth quarter 2024, demonstrating sustained interest for our products. The first quarter extended our positive progress in the second half of 2024. In China and Hong Kong, we completed a nine city roadshow marketing our wellness products with expert insights from Dr. Lyle Wilson. We also introduced new additions to our Twin Slim weight management line: Twin Slim Coffee and Twin Slim Tomato Soup, both of which received strong feedback from customers and field leaders. In April, we hosted nearly 200 qualifiers on an incentive trip to Paris, where they enjoy cultural and culinary experiences that strengthen team camaraderie. In March, we opened our new office in Bogotá, Colombia. This facility will serve as the central hub for our newest market, delivering customer services and showcasing our brand and products. As soon as the first quarter was behind us, the international trade environment changed significantly. While the impact is difficult to gauge, with the support of our product partners, we are actively working to streamline our supply chain, bring manufacturing closer to our primary markets in Asia and simplify logistics to weather the uncertainty and improve our long-term efficiency. With that, I'd like to turn the call over to our CFO, Scott Davidson, to discuss our financial results in greater detail. Scott?
Scott Davidson : Thank you, Chris. Total revenue for the first quarter was $10.7 million, a modest decrease of 2% compared to $11 million in the first quarter of 2024. Our active member base decreased slightly to 30,180 at March 31 from 30,870 at December 31 and was down 5% from 31,620 at March 31 last year. Turning to our cost and operating expenses. Gross profit margin increased slightly to 73.6% from 73.4% in the first quarter last year. Commissions expense as a percent of total revenue for the first quarter was 41.8% compared with 41% a year ago, primarily due to higher weekly commissions earned by our members during the first quarter of this year. Selling, general and administrative expenses for the quarter were $3.8 million, a decrease of $156,000 compared to a year ago. As a result, operating loss for the quarter was $345,000 compared to $365,000 in the first quarter last year. Net income for the first quarter was $122,000 or $0.01 per diluted share compared to $188,000 or $0.02 per diluted share in the first quarter of 2024. Now I'll turn to our balance sheet and cash flow. Net cash provided by operating activities was $484,000 during the first 3 months of 2025 compared to $549,000 during the first quarter a year ago. Total cash, cash equivalents and marketable securities were $41.9 million at March 31, down from $43.9 million at December 31, 2024, due to our quarterly dividend payment. As returning capital to our stockholders remains a top priority, I am pleased to announce that on April 28, our Board of Directors declared another quarterly cash dividend of $0.20 per share, which will be payable on May 23 to stockholders of record as of May 13. Looking forward, our immediate priority is assessing the potential impact of tariffs on our operations and responding swiftly with strategic actions to optimize our supply chain and streamline logistics, ensuring we continue to meet the needs of our markets while also remaining focused on the execution of our strategic initiatives and on providing exceptional support to our members every step of the way. That completes our prepared remarks. I will now turn the call back over to the operator.
Operator: